Operator: Good morning. Welcome to Wesdome Gold Mines 2017 Third Quarter Financial Results Conference Call. I will now turn the call over to Heather Laxton, Chief Governance Officer and Corporate Secretary.
Heather Laxton: Thank you, operator and good morning, everyone. Before we begin, just a quick reminder that today’s call may contain forward-looking statements or information. Forward-looking statements are based on certain material factors and assumptions and are subject to risks and uncertainties that could cause actual results to differ materially from the expectations and assumptions discussed today. We refer you to our detailed cautionary note regarding forward-looking statements contained in yesterday's press release and in the Company's interim management discussion and analysis dated November 9, 2017. Both documents are available on the Company's website and on SEDAR. Please note that all figures discussed on this call today are in Canadian dollars unless otherwise stated. A recording of this call will be available for replay; the details of which will be posted on the Company's website. On the call with us this morning, we have Duncan Middlemiss, President and CEO.
Duncan Middlemiss: Good morning.
Heather Laxton: Ben Au, Chief Financial Officer.
Ben Au: Hello, this is Ben Au.
Heather Laxton: Marc-Andre Pelletier, Chief Operating Officer.
Marc-Andre Pelletier: Hello, this is Marc-Andrew.
Heather Laxton: Michael Michaud, Vice President, Exploration.
Michael Michaud: Good morning.
Heather Laxton: And Lindsay Carpenter Dunlop, Vice President, Investor Relations.
Lindsay Carpenter Dunlop: Good morning, everyone.
Heather Laxton: And now over to Lindsay for a review of the agenda for today’s call.
Lindsay Carpenter Dunlop: Thanks, Heather. The agenda for today's call will be as follows, first, a corporate update by Duncan Middlemiss, followed by a review of the operational results by Marc-Andre Pelletier. We will then move to our financial results review by Ben Au and then an exploration update on the Eagle River Complex and Kiena Projects by Michael Michaud. Finally, Duncan will conclude with the summary and outlook. We will then open the lines up for question-and-answer. Duncan, please go ahead.
Duncan Middlemiss: Thanks, Lindy. On September 19 we announced [inaudible] changes to our executive management team. With these changes, we’ve eliminated two positions Vice President of Operations and Vice President of Corporate Developments, which will also [inaudible] results in a decrease of corporate eventuation and all interest paying cost. Additionally, we believe these changes will better position the company in ongoing efforts to reduce costs, improved profitability and evaluate the Kiena mine. The new executives Ben Au, Marc-Andre Pelletier and Mike Michaud and I have worked together extensively to obtain every Goldfields, and help transform our company from Kiena maintenance data from 2008 to a 140,000 ounce per year profitable producer in 2016 when it was acquired by Kirkland Lake Gold. Additionally, the executive team includes Lindsay Carpenter Dunlop, Heather Laxton and our Vice President of Human Resources, Stacy Kimmett. Together, this is an experienced cohesive team eager to move the company forward. I will now pass on to Marc-Andre Pelletier for an operational review with the third quarter and year-to-date.
Marc-Andre Pelletier: Thanks, Duncan. In the first nine months of 2017, we see the demonstrated improvements in the [inaudible] grades due to increased development and definition drilling that has been ongoing since mid 2016. As a result, production from the Eagle River Underground Mine has increased 26% over 2016, despite lower throughput due a 32% improvement in grades and a strategy shift to quality ton over quantity. This strategy as of yearend and [inaudible] improvements in mine operating profits over the same period in 2016, despite lower gold prices. Both production and cash costs are also lower than 2016 results and for the nine-month period in 2017 are within in our cost guidance. We are at the midpoint of guidance for cost CAD1,090 per ounce, this is guidance at the CAD1,030 and to CAD1,130 an ounce. All-in-sustaining cost on the higher end of guidance at CAD1,522 an announce, this is guidance of CAD1,450 to CAD1,550 per ounce. As we get ahead on developed reserves and with a [inaudible] we expect these costs to reduce next year. Ongoing improvements at the mill has higher recover rates and we will continue to make some modest investments there to continue to improve meaning rates and the recoveries. Also, as a result of the increased drilling, the 300 East zone and the wide higher grade 303 Lens has been discovered and we’re happy to be developed for production at the end of this year and for all of 2018. We believe this year we will achieve the corporate end of the guidance range of 52,000 to 58,000 ounces. We are putting together our 2018 budget now, but early estimates shown an increase in both production and grades at the Eagle River Underground Mine. Mishi production results has been relatively consistent over 2017 and we expect that to continue into the next year. I will now turn the call over to Ben for our financial review.
Ben Au: Thank you, Marc. At the end of the quarter, we have cash and cash equivalent of CAD16.6 million. The quarter end cash does not include – take into account close to 6,000 ounces of gold in process were probably at CAD9.6 million. A large portion of this gold inventory was realized in cash of CAD8 million in the program. As of November 8, we have cash increased to CAD22.6 million. Free cash flow has been impacted this year by increased exploration spending and the construction of Kiena Ramp, which are both internally fund with. We have suspended the exploration program last week, then expected the Kiena Ramp to complete in Q1 2018. Cash flows totaled conservatively in the third quarter due to these factors than other cost savings initiated. Moving forward, we will provide our exploration programs for 2018 to align our financial group resources. The investment in Kiena Ramp is important as this allow us to carefully drill the high grade Kiena Deep discovery in order for us to have sustaining restart plans. As Marc mentioned earlier, operational improvements and changes in strategy with the Eagle River have resulted in sustainable better grades. However, the net earnings this quarter has been impacted by a one-time severance cost of [inaudible] CAD2.2. million together with higher tax expense due to the depletion of tax groups. I’ll now turn over the call to Mike Michaud for a review of the exploration.
Michael Michaud: Thanks, Ben. Well, it’s another great quarter of exploration at Wesdome. At the Eagle River Mine, the 300 East zone and specifically the 303 Lens is a very exciting new zone for us to the high grades and above average widths we encouraged to development and drilling. The combined four strike lengths of the 300 new subzones was a 174 meters with a weigh average width of almost to width and cut and uncut gold grades of 22.6 grams per ton and 35 grams per ton gold respectively. Continued drilling of the 303 Lens has now creates the structure from 750 meter depth to a 1,000 meter depth. Interpreted as a [inaudible], this has resulted in much larger groups of mineralization compared to the more historical [inaudible] elsewhere in the mine. It is encouraging that this one remained open, up and down plunge and that their exist potential for discovery of additional zones of this nature elsewhere in the mine. As announced in our press release of November 1, six of the eight holes we drilled all returned wide high grade intersections, including 34 grams per ton gold over 10.4 meters to width and 52 grams per ton gold over 12 meters to width. Mine development is progressing in this area and has anticipate that the store production will commence by the end of the year and will product for all of 2018 and beyond. Up-Plunge exploration will also continue through 2018 from the 750-meter level which is to be completed in the first quarter of 2018. Additionally at the Eagle River Mine, the 300 West zone continues to return encouraging results. In August, we released new drilling results on this zone, which is located favorably with the respect to existing development. The 300 west area consists of [inaudible] that are parallel to the previously mine zone eight and zone seven which occurred [inaudible] contact with volcanic rocks. This all remained open to the west and above and will remain an exploration focus in 2018. The grades of this 300 West extension are above the existing mine reserve grades which post volatile for our near term production. We are production from this zone currently and developing the exploration access drive to this area to the east and west on the 750-meter level. The 300 West zone achieved our objective of defining resources at shallow depths in the mine that are easily accessible as [inaudible] open up new working and increased underground production. At the Kiene Complex in Quebec, the exploration ramp programs well and the first drill day was now complete. Initial drilling of the Kiena Deep discovery is underway. [Inaudible] previous drillings has [inaudible] this on 550 meters along straight and depths doing 1,140 meters and remains open. The drilling conditions from the ramp have been much more favorable. All the holes are reached their intended target and till date we have completed three holes, each taken about five days versus several weeks prior to the ramp construction. We expect to have second drill to concentrate on Zone A of the Kiena Deep discovery in early December. And next year we intend to do a major drill program of both Kiena Deep and other auxiliary targets in the first half of the year with the intension of publishing a reserve resource statement at the end of 2018, a long possible restart mine. Additionally, the company has been drilling seven different [inaudible] in mine resources that are [inaudible] approximately with the existing infrastructure and having potential for future development including S50 and VC Zones. The most recent drilling on the VC Zone announced in September returned [inaudible] 262 grams per ton gold over 5.6 meters true width and 10.3 grams per ton gold over 3 meters true width, which remains open down depth and down plunge. I will now turn the call back over to Duncan for conclusion.
Duncan Middlemiss: Great. Thanks Mike. In summary, we expected to close our 2017 achieving the top end of our production guidance of 52,000 to 58,000 ounces and [inaudible] cost guidance. Looking back to 2016 production, the 48,000 ounces, the company will have only 8,000 ounces to 10,000 ounces of production from the Eagle River Complex, discovered above average weighs and grades with the Eagle River mine, and a lot of potential [inaudible]. The Kiena mines exploration initiative advanced significantly through the first three quarters of 2017. The company has no debt and we are managing our exploration spending with the framework of our balance sheet and cash flows. The Eagle River and Kiena are the future of this company, and our commitment to these offsets will be reflective in our exploration efforts. We expect the [inaudible] transition of the 2018 are always sustaining cost improve with higher levels of developed reserves and improved underground ventilation and power network, ultimately aligns the great flexibility for in mine exploration of parallel zones to be positive results and this program would allow the Eagle River mines to spend more high grade ore to the mill. The potential to increase our production profile in the near term is high. The Kiena mill as we’re all very excited over the potentially as demonstrated since our first drilling results for the use of the Kiena Deep over a year ago. The ramp development and continued diamond drilling will allow the [inaudible] results generation. So far, the drilling from the ramp has been very efficient compared to the previous platforms and we would expect this to continue throughout the next three quarters. Early in the first quarter of 2018, we will release our final 2017 production and give our guidance on 2018. In summary, we are heading for the future and continue to strive towards our goals by being the next Canadian mid-tier gold producer, driven by both the optimization of our existing operating asset in Wawa, Ontario and our ongoing exploration and development of our advanced Brownfield asset [inaudible]. I will now turn the call back over to the operator to open up the lines for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Stuart MacDougall with Mackie Research. Your line is now open.
Stuart MacDougall: Thanks, operator. Hi guys, just a couple follow-up questions on your comments please. The first one, you’ve given us some color on the production expectations. I’m just wondering if you expect similar unit costs going into Q4 and into 2018? And then second, just on the balance sheet, if you could provide a little more color please on the post-quarter cash built. Just by looking at the MD&A, it looks like CAD2 million was added to the cash on the NIM process. And I’m wondering if I’m misunderstanding that. And then second part of that question would be, given where the balance sheet is, what kind of flexibility might you have as you evolve on the exploration program with respect to your capital and exploration commitments? Thank you.
Duncan Middlemiss: Great. Okay, well I’ll deal with the first question, Stuart. It’s just about our Q4 levels, yeah, we expected to, they should be similar or slightly lower in the fourth quarter. We think the production is going to remain strong, we were sitting there at the end of September at of almost 43,000 ounces. So, really I think we do expect the upper end of the guidance to be achieve and I think that similar cost if not lower should be attainable. So yeah, that’s good. In terms of the balance sheet question that you had, I’m going to hand it over to Ben Au, who is probably have a lot of more success in his explanation than mine. So, go ahead Ben.
Ben Au: Hi Stuart, it’s Ben. On the – we have at the end of September about 6,000 ounces of gold in inventory. We sold it in October, in early October and so a potential portion of it and thereby our cash increased by closer to CAD8 million. And what’s there on the – what’s the impact on subsequent quarters in October is that our earnings, our profit margin would have increased by CAD2 million as a result of the sale. The differential between the eight and two which we expected carry in our inventory at the – at September. So basically the gross margin for October which is increased by this CAD2 million as a result of the – this inventory.
Duncan Middlemiss: So Stuart, moving forward I mean we were getting a strategy together not to have a situation, obviously we want to have realize the gold production and gold sales closely tracking each other. I certainly don’t want to discourage my [inaudible] spending high grade ore in the middle of any time but we’ll certainly try to manage it a little bit I think.
Ben Au: Yeah, we’re going to get it before the end of the year.
Duncan Middlemiss: Yeah, sure.
Stuart MacDougall: Okay, thank you guys.
Duncan Middlemiss: Okay, thanks Stuart.
Operator: Thank you. Our next question comes from Barry Allan with Laurentian Bank. Your line is now open.
Barry Allan: Yes, good morning. Stuart kind of preempted my question with you guys ringing extra ounces out of the mill after the quarter. And I’m just going to be absolutely clear. So, your ounces you took out of work in progress, you’re not going to have to replace them going forward, it was just surplus material that was flush around the system that you’re able to get out themselves is that correct?
Duncan Middlemiss: Yeah, so what it was Barry, exactly, I mean we had a high grades [inaudible] essentially go through the mill. How we’ve been managing the mill production involved for quite a while since I’ve been here is typically half of the months have been dedicated to doing the Mishi processing, which of course is about 2 grams. And then the other half of the mines of course is the Eagle River Underground which is much higher. And essentially, the end of the September was quite a great production months in terms of [inaudible] and it just takes a little bit longer to realize that. So, really I think that our strategy moving forward and of course, our production plans are going to reflect this but we certainly do want to realize the gold within the quarter that we produce, so we’re going to switch around the moving time.
Barry Allan: Okay, so what you’re I think saying is that, excuse me, any time that you actually take some very unusually high grade material from the Eagle Mine. You may get a buildup of gold in a circuit that you might not fully get in the quarter that would spill into the next quarter. Is that correct?
Duncan Middlemiss: Yeah, that’s correct. I mean this quarter certainly demonstrated that exact condition.
Barry Allan: Okay, thanks.
Duncan Middlemiss: Great, Barry.
Barry Allan: Appreciate it.
Operator: Thank you. Our next question comes from Don Demarco with National Bank Financial. Your line is now open.
Don Demarco: Hey guys. What can we expect – and it’s great that you’re getting into the 303 Lens and the 300 East quickly. I mean we’ve seen these fantastic 40 plus grants per ton grades coming out. What can we expect in terms of percent contribution to the mill from this area in Q1? I mean it’s still little bit of a mystery in terms of what the actual reserve grade will be but it could be high, but anyway, how much do you think it’ll contribute to the mill in Q1?
Marc-Andre Pelletier: Good day, this is Marc-Andre speaking and like we mentioned, I mean we all aim the – we all make sure that we’re working on the budget for next year. The budget is still not completed at this stage, but overall for next year I think the contribution from the 303 Lens will be about 20% to 25% of the total production. So, we will be about to update you in the first quarter with the more formal number but that’s about that range.
Don Demarco: Okay, great. Thanks. Okay, thanks. And just switching over to Mishi, I’m looking at the Mishi grades and I see that they progressively increased over the last four quarters from 1.6 to 2.03 in Q3. Do you expect them to stabilize at this level or should we expect them to go up or down in 2018?
Marc-Andre Pelletier: No. This is Marc again. We are expecting to be basically to stay above two ramps with them in Q4 and next year. We are doing some work on improving the great control and the tip. And we expect some positive results as around in Q4.
Don Demarco: Okay, great. That’s all from me, thanks a lot.
Duncan Middlemiss: Thanks Don.
Operator: Thank you. Our next question comes from George Topping of Industrial Alliance. Your line is now open.
George Topping: Great, thanks. Hi everyone. And I’m just carrying on the production expected over the 300 zone and some. Is that going to be an increase in throughput for next year or are you going to be dropping of another stop? How you’re going to handle that scheduling?
Marc-Andre Pelletier: Our current budget is to make sure a slight increase in tonnage but this is an increase of grades, so [inaudible] the bigger impact would be on the grades for next year.
George Topping: All right. On the…
Duncan Middlemiss: Now, George we’re really starting to conduct this sort of systematic exploration program looking for the parallel zones further to the east, and based on positive exploration results I would say that we’ll be quite focused on bringing additional [inaudible] into the full. I mean our strategy may go out certainly to nothing like Mishi but we want to try to display with as much Mishi tons if we can with high grade Eagle ton, so that’s really the focus of the team.
George Topping: Right. So, are you expecting to do that Duncan in the, maybe the middle of next year or what should we look for…
Duncan Middlemiss: Well, as I said George, I mean really based on positive exploration results I think that we’ll see where we’re successful in that and we’ll make the plan accordingly but as Marc-Andre said, the 2018 budget plan, the metal plan right now is just getting solidified. So, we’ll have to have a look at that but I certainly think that we’re going to see an increase over this year’s revenue in terms of produced ounces, so I think that’s very positive.
George Topping: Got it. So I’m switching to Kiena really, the drilling going on, have you had any [inaudible] at all or is that thing that’s possible or that’s a angle a attack?
Michael Michaud: Well, it’s Mike Michaud here. Certainly the first five holes that we completed so far, the drilling has gone very well. Certainly the angle attack from the ramp and even though the shorter length of holes has helped, so we – all those holes were successfully reached their target.
George Topping: Great. And then just on when we can expect the first [inaudible] release? If you, then obviously if you get a good hole you’ll probably release that earlier but when are you expecting to get back your first and second hole [inaudible] for example?
Duncan Middlemiss: We expect that, we’ll let a few holes come in just to so we can better understand what the – how the mineralization is occurring and what the controls are. With those factors that we get, I mean we try to push them as hard as we can, Quebec is a very busy place for us in these days. So, if we can get the results back and have something out in, in the mid December I think that will be our first release. And then we would be start to increase the drilling, bringing another drilling in December, we should have a fairly steady news flow over Q1 and Q2 of next year as well.
George Topping: Great, thank you.
Operator: Thank you. I’m showing no further questions at this time. I will turn the conference back over to Duncan Middlemiss, President and CEO for closing remarks.
Duncan Middlemiss: Right, I’d like to thank everybody for taking time over their busy Fridays to join us for our third quarter conference call. I just like to wish everybody a good day and will be back in touch with hopefully some exciting exploration news and of course, our Q4 results early in the New Year. Thank you.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This concludes today’s program. You may now disconnect. Everyone have a great day.